Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Ellington Residential Mortgage REIT 2018 First Quarter Financial Results Conference Call. Today's call is being recorded. At this time all participants have been placed on a listen-only mode and the floor will be opened for your questions following the presentation. [Operator Instructions] It is now my pleasure to turn the floor over to Maria Cozine, Vice President of Investor Relations. You may begin.
Maria Cozine: Thank you, Crystal, and good morning. Before we start, I would like to remind everyone that certain statements made during this conference call may constitute forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not historical in nature. As described under Item 1A of our Annual Report on Form 10-K filed on March 14, 2018, forward-looking statements are subject to a variety of risks and uncertainties that could cause the Company's actual results to differ from its beliefs, expectations, estimates and projections. Consequently, you should not rely on these forward-looking statements as predictions of future events. Statements made during this conference call are made as of the date of this call, and the Company undertakes no obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. I have on the call with me today, Larry Penn, Chief Executive Officer of Ellington Residential; Mark Tecotzky, our Co-Chief Investment Officer; and Chris Smernoff, our Chief Financial Officer. As described in our earnings press release, our first quarter earnings conference call presentation is available on our website, earnreit.com. Management's prepared remarks will track the presentation. Please turn to Slide 3 to follow along. As a reminder, during this call, we'll sometimes refer to Ellington Residential by it's New York Stock Exchange ticker, E-A-R-N or EARN for short. With that, I will now turn the call over to Larry.
Larry Penn: Thanks, Maria. It's our pleasure to speak with our shareholders this morning as we release our first quarter results. As always, we appreciate you're taking the time to participate on the call today. The first quarter of 2018 started out much as 2017 ended with volatility historically low and equities continuing to reach record highs. Of course, we saw all of that change in a hurry in February with investor concerns over inflation and rising interest rates sparking a sharp sell-off in the equity markets. The S&P reached correction territory on February 8, just 9 trading days after reaching an all-time high. The VIX jumped 282% between the start of the year and early February with it's largest one day movement on record occurring February 5. The 10-year treasury broke out of it's 2017 range reaching 2.95% on February 21, it's highest point during the four years. During the quarter Agency RMBS prices came under substantial pressure with the Bloomberg Barclays U.S. MBS Agency fixed rate index recording a negative return of 1.19%. It's not surprise that Agency RMBS underperformed with all of these jarring forces at work in the broader markets, especially when you consider that Federal Reserve has increased it's tapering of Agency RMBS reinvestments twice since the end of 2017. Currently, the Fed is tapering reinvestments by $12 billion a month; as announced, a further increase to $16 billion a month in July. In total, expected Fed tapering will require the market to absorb an additional $168 billion of Agency RMBS in 2018 and when combined with the expected new issue supply of $300 billion this year, that's almost $500 billion of net additional supply for private investors to absorb which is a lot to ask for without putting pressure on Agency RMBS prices. During the first quarter, we took advantage of the pricing weakness, not only by adding Agency RMBS at higher yields but also by covering a good portion of our TBA short positions. We produced a solid $0.34 per share in adjusted core earnings and despite the broader sell-off in the mortgage markets, our book value is relatively stable, thanks to our hedges and strong net carry from our portfolio. Our economic return was a modestly negative 1.2% for the quarter which is significant outperformance relative to the rest of the agency mortgage repair group which on average had an economic return of negative 4.8%. With our share price trading at a discount to book value during the quarter, we took advantage of the opportunity to repurchase shares aggressively. We bought back 3.8% of our shares outstanding which was accretive to book value by $0.13 per share. Despite the wider yields we're seeing on new Agency RMBS purchases, we believe that share buybacks can also be an excellent use of capital. Last year we were in issue of shares when our stock was trading at far higher levels, and so far this year we've been a repurchaser of shares with our stock trading lower. We want to be opportunistic in our capital management strategy. We'll follow the same format on the call today as have on the past. First, our CFO, Chris Smernoff, will run through our financial results; then Mark Tecotzky will discuss how the residential mortgage-backed securities market performed over the course of the quarter, how we positioned our portfolio, and what our market outlook is. Finally, I'll follow with closing remarks and then we'll open the floor to questions. Over to you, Chris.
Chris Smernoff: Thank you, Larry and good morning, everyone. For the quarter ended March 31, 2018, we had a net loss of $4 million or $0.30 per share as compared to net income of $790,000 for the quarter ended December 31, 2017. The primary driver of the decrease in our net income was unrealized losses on our Agency RMBS investments which were only partially offset by net interest income and net gains from our interest rate hedges. The components of our first quarter earnings were as follows: core earnings of $4.3 million or $0.32 per share, net realized and unrealized losses from our residential mortgage-backed securities portfolio of $29.2 million or $2.20 per share as prices of securities in the portfolio decreased and interest rates moved higher, and net realized and unrealized gains from our interest rate hedges of $20.9 million or $1.58 per share again because of higher interest rates. Note that, net realized and unrealized gains from our interest rate hedges exclude the net periodic costs associated with our interest rate swaps since they are included as a component of core earnings. Our core earnings include the impact of catch up premium amortization which in the first quarter decreased our core earnings by approximately $150,000 or $0.02 per share. As they are backing out the catch-up premium amortization from interest income and both the current and prior quarters we arrive at our adjusted core earnings of $0.34 and $0.40 per share respectively. Further compression of our net interest margin this quarter led to a decrease in our quarter-over-quarter adjusted core earnings per share. In the current quarter, our net interest margin adjusted to exclude the impact of the catch-up premium amortization was 1.09% as compared to 1.41% in the prior quarter. With the average yield on our portfolio also adjusted to exclude the impact of the catch-up premium amortization adjustment remains relatively flat at 3.02%, our cost of funds increased from 1.63% to 1.93%. The main contributor to the increase in our cost of funds was our repo borrowing rates which rose as LIBOR increased during the quarter. I'd further note that we expect the average yield on our portfolio to increase going forward as we were able to add new pools at higher yields during the quarter, especially throughout the second half of the quarter when asset yields were much higher. This should in turn be supportive of our net interest margin. During the quarter we repurchased shares aggressively with our share price trading at a significant discounted book value. For the quarter, we repurchased over 512,000 shares at an average price per share of $11.21, and the total cost of $5.7 million and that an average discount to book value of 22%. These share repurchases were accretive to book value by $0.13 per share. Our annualized operating expense ratio for the quarter increased 20 basis points to 3.26% which was primarily the result of our lower average equity base. At the current equity base we project our going forward annualized expense ratio to be about 3.2%. During the quarter we turned over approximately 15% of our agency portfolio as we sought to capitalize on sector rotation opportunities arising from the market volatility. In response to the spread widening, we also added to our loan TBA portfolio by $25.5 million net while covering a significant portion of our TBA short positions towards quarter end when spreads were particularly wide. Our overall, RMBS portfolio decreased by 3.3% to $1.631 billion as of March 31, 2018, as compared to $1.686 billion as of December 31, 2017. Although our portfolio was slightly smaller, so was our equity base and we saw a small increase in our leverage. Our overall debt-to-equity ratio adjusted for unsettled purchases and sales increased to 8.6:1 at March 31, 2018 from 8.2:1 as of December 31, 2017. At this same time our net mortgage assets to equity ratio increased to 7.8:1 from 5.7:1 at year end. The increase in both these leverage metrics reflected our conviction towards the end of the quarter that we had reached an excellent entry point to acquire more agency mortgages which we were poised for a rebound. Our Agency RMBS prices dropping -- with our Agency RMBS prices dropping, our assets had significant unrealized losses for the quarter. These losses were particularly offset but these losses were partially offset but not fully offset by net interest income and significant gains on our interest rate swaps and TBA short position. Our results were also dampened somewhat by strong TBA dollar rolls and minute prepayments which caused TBAs to outperform. Overall, our agency strategy generated a gross loss of $3.3 million or $0.25 per share. Meanwhile, our non-agency portfolio performed well driven by strong net interest income and net realized and unrealized gains generating gross income of approximately $730,000 or $0.06 per share. During the quarter, our interest rate hedging portfolio continued to be predominantly made up of interest rate swaps and short positions in TBAs, and to a lesser extent, short positions in U.S. Treasury, Securities and Futures. For the quarter, we had total net realized and unrealized gains of $20.6 million or $1.56 per share on our interest rate hedging portfolio. Our interest rate swaps generated net gains for the quarter as interest rates grow in our short positions and TBAs also generated gains as prices declined during the quarter. In our hedging portfolio, the relative proportion based on 10-year equivalent of short positions at TBAs decreased quarter-over-quarter relative to our other interest rate hedges. As you can see on Slide 16; TBA has represented only 19.5% of our hedging portfolio at the end of the first quarter as compared to 40.3% at year-end. At the end of the first quarter, we had total equity of $178.3 million or book value per share of $13.90, as compared to $192.7 million or $14.45 per share at the end of the prior quarter. And as Larry previously mentioned, our economic returns for the quarter was modestly negative 1.2%. I would now like to turn the presentation over to Mark.
Mark Tecotzky: Thanks, Chris. This was a challenging quarter across most financial markets. The S&P had a negative quarter as did all of the major bond indices; treasuries, investment created corporates, high yield corporates and Agency RMBS. At EARN, we think of ourselves as having our own dual mandate, preserve book value, involve the markets during risk-off moves and capture upside in good markets. We are pleased with how we preserved book value this quarter in a very challenging environment. After the [indiscernible] of the bond market in 2017, Q1 was a stark change. It seems like every corner of the bond market was conspiring to separate investors from their money. Interest rates shot up and volatility roared back. CRAB [ph] strategy is more expired with both and high yield down between 1% and 3% for the quarter, and that's on an unlevered basis. We came into the quarter positioned defensively with less MBS exposure in the peer group. As we didn't think investors were getting paid for owning MBS in front of the increase in the Fed's balance sheet reduction; that allowed us to play offence and better opportunities erodes mid-quarter as MBS got very cheap and we added a lot of net mortgage exposure. Look at Slide 5, you can see that the MBS, OAS as of the quarter end were right around their two-year wide or corporate bond spreads widened during the quarter but we're still below the midpoint of their two-year range. So far our aggressive buy of mortgages towards the end of the quarter is paid off; MBS has done well post quarter end and our performance in April was strong. You can see this change in positioning in two places in the presentation; on the bullet point on Slide 17 we show our net mortgage exposure which reflects the market value of our mortgage asset is reduced by our TBA shot. That net mortgage exposure increased substantially in the quarter, primarily because we reduced our TBA hedge. And as Chris mentioned on Slide 16, which shows our hedging portfolio; you can see how the percentage of our interest rate hedges and TBA shorts was reduced substantially in the quarter. Dialing up and down our TBA hedge is an important lever we can use to drive outperformance and preserve book value in different market environment. In the face of a sharp moving interest rate, increased balance sheet reduction from the Fed and wider corporate bond spreads, mortgages could not help but widen this quarter. Given these headwinds, spread widening from the start to the end of the quarter was about 12 basis points. Within the two quarter there were opportunities to buy MBS at wider spreads, we came into the quarter with the substantial TBA shorts because the beginning of the year we just looked tight, even if you thought the low volatility of conditions of 2017 would persist. Then when mortgages really underperformed during the quarter we brought back a lot of our TBA shorts and replaced those hedges with treasury shorts and swaps. We also took advantage of material discount in our stock to buyback shares aggressively. Looking ahead we see good opportunities in Agency RMBS. Specifically, there are two significant supporters of MBS performance right now that we haven't seen in the years. The first supporter relates to relationship between repo rates and three months LIBOR. Look at Slide 6 which shows the differential between three months LIBOR, which is what the floating rate of our interest rate swap doing next to and the actual average cost of our repo borrowings. Recently we've been executing three months repo at three months LIBOR minus 40 basis points; this means that our repo cost is about 40 basis points less than what you're getting paid on the floating leg of our swaps, this is a huge tailwind. Just contract this to 12 months ago when the floating rates we received on swaps barely covered our repo borrowing rates and now pocketing the next 40 basis points on every turn a leverage. There are two important points to make here. Firstly, this phenomenon may not persist but is likely be with us to some extent for a while because it's largely a consequence of the money market reform of 2016; so it's systemic. The financing benefit is so significant versus early last year that even if half of this point [ph] benefit went away, it would still represent a very significant boost to mortgage. The second important point about this financing benefit is that only a levered MBS investor like Mortgage REIT can take full advantage. Most MBS investors don't use leverage because this financing benefit only impact a small percent of the MBS outstanding; MBS pricing has barely reacted to the improved financing conditions. Mortgage REITs are probably the biggest beneficiary and with permanent capital EARN is the highly attractive repo counterparty making it very favorable financing terms. The second big positive about this market is compared to use past is that you don't need a lot of prepayment risk or incur big pay as you specified pulls to generate your net interest margins. The dramatic decline in premium prepayment risk is illustrated on Slide 7. Here we imagine a hypothetical mortgage REIT that just owns low loan balance of 30-year Fannie Mae forwards and leverages those assets 7:1 assets to capital. We then calculated what percentage of the week's capital at each point in time was tied up in mortgage premium risk. You can see that back in 2016 as much as 70% of the capital was tied up in premium; that means that whenever a mortgage loan prepayment occurred, the portion of this M-REITs capital that was tied up in that mortgage loan took a full 70% hit. But today look how low this premium risk is, it's only about 20% of capital. This doesn't make the NIM higher now but it makes it more predictable and it makes it more resilient, this should reduce book value volatility. So now after the big spread widening we saw in the middle of the quarter, with premiums [ph] materially higher than the start of the year and it doesn't come from taking a lot of prepayment risk. So going forward, set balance sheet reductions should keep mortgages at a level where stable NIM can be attained without a lot of risk. Many investors generally have a knee-jerk reaction sound to volatility but it's volatility that usually recharges the opportunity set. Without volatility spreads are usually tight and going forward returns are low. We finally got volatility this quarter and we managed to do with only a modest negative economic return. Now we have widest spreads and much better opportunity set. The mortgage work it needs capital to take up the slacks and the fed tapering, so mortgage investors are getting paid more for their capital. In addition, the low repo rates relative to LIBOR are providing huge benefit for leverage investors like us, and then top of at all there is less prepayment risk given the dramatic drop in price premium. Now back to Larry.
Larry Penn: Thanks, Mark. We've mentioned in prior quarters that our use of TBA short position sets us apart from most other agency mortgage rates. And along with our interest rate hedges serves as an important stabilizer to our book value. Going into year-end, we believe that the combination of low volatility, low prepayments and tight spreads was not a compelling environment to add risk, and so we lowered our net mortgage exposure accordingly. This conservative positioning enabled us to withstand the quarter sell-off with only limited book value decline, and this in turn allowed us to play offence towards the end of the quarter by opportunistically covering TBA shorts and adding asset leverage at more attractive NIMs. In total, we increased our net exposure to agency pulls by about $300 million in the first quarter to $1.4 billion resulting at a 7.8:1 net mortgage assets to equity ratio at March 31, an increase from the prior quarters 5.7:1. Although strong dollar rose caused TBAs to outperform specified pulls this quarter, we continue to believe that the outlook for specified pulls is strong. The Fed exclusively purchases agency pulls via TBA contracts. So as it's tapering ramps, it will be removing an important technical support for TBAs. We believe that demand for specified pulls will only grow from here and we continue to unearth new pockets of mortgage pulls that we believe are undervalued and underappreciated. Additionally, despite the quarter spread widening that largely reflected technical factors, the fundamentals for Agency MBS remains strong with prepayment risk low, and a multitude of financing outlets providing competitive funding. We believe that the opportunity set an Agency MBS will remain highly attractive and with the increased volatility we're seeing this year we will look to continue dialing up and down our Agency RMBS exposure in spots to market opportunities. That ability to dynamically dial up and down our mortgage exposure by making heavy use of short TBA positions when we're defensive on the mortgage market and covering those shorts when constructive on mortgages, well that's just a great tool in our toolbox. Our own stock prices also not been immune to volatility but that also creates opportunities as we're able to supplement earnings with accretive share repurchases when our stock trades at significant discounts to book value. The first quarter was a great example of how quickly markets can change and how long held beliefs that have underpinned the pricing structure of the market for years can be called into question. We are five weeks into the second quarter and the 10-year U.S. Treasury has continued it's march higher from the last two quarters. More Fed rate hikes are coming and the Fed's tapering program is scheduled to increase significantly in the months ahead. We also wouldn't be surprised to see even higher volatility should other central banks take the fed's lead and begin walking back their rightscale asset purchase programs. We believe that EARN is well positioned for volatility and they are a diligent hedging and liquidity management will continue to protect book value while also enabling us to take advantage of new investment opportunities. And we believe that our confidence is validated by EARN's first quarter results, and what was truly a hostile environment for the mortgage market. With that, our prepared remarks are concluded. I'll now turn the call back to the operator for questions. Operator, please go ahead.
Operator: [Operator Instructions] And our first question comes from the line of Steve Delaney with JMP Securities.
Steve Delaney: I want to offer my congratulations on the book value performance. I think you would not normally, probably jump up and down with minus 3.8% but we have the final scorecard for the Agency REITs now this morning, and I think from the median decline we saw was 7.2% and your performance was the second best. So, well done on that regard, it's certainly a tough market. The leverage -- adjusted leverage slipped up a little bit and I realized you took some short TBAs off and -- but help us get an idea of how much flexibility that you think you have with respect to leverage, especially in an environment where MBS were to widen now significantly? Because it's -- when I saw that, I'm really thinking about true debt-to-equity rather than long TBAs because what I'm hearing you guys say is, your TBA activity maybe more on the short side but when you want to be long, you want to still be long spec pools and not TBA. So it would seem the true balance sheet leverage is going to be a factor and how big a long bet you can put on?
Mark Tecotzky: I guess what I would say is, the first decision we make when we look at market pricing and market conditions is; how much more good exposure we want to have in the company and that -- we mentioned that number where it is in the presentation book. So that to us is the biggest thing to get right. Then once we sort of know how much mortgage exposure we want in the company, then we think about what's the best way to get it. Is it long TBAs, is it long specified pulls, or is it just buying back TBA shorts, right. So what we thought in this quarter was given rates were rising, given dollar prices were lower, and payment indices were dropping, to us it made more sense to buyback the TBA short as opposed to adding more specified pulls that -- where you're paying up for some prepayment. We thought the market would probably put less of a premium on prepayment protection; so a lot of the pulls we had -- some of the pulls we had were really pulls at extension protection. So that's why this quarter we choose to dial-up the mortgage exposure primarily by reducing our TBA short. In other environments we could make a different decision, so it just came down to the view that the reason why mortgage is widening was it's share of inflation fueled by the tax cut and higher rates. And so in that environment, we rather reduced short than increased along if the long was going to come with buying more prepayment protection. And also to -- just from like a risk management standpoint, it's always riskier to sort of -- it's always less -- it's derisking to unwind trades, to put on new trades; and so we had that TBA short -- those big part of our hedging strategy in the fourth quarter. So unwinding that, if we were agnostic on that sort of size TBAs versus specified pools, just unwinding the trade and taking it off is sort of reduces risk, it's always something that we prefer to do than adding additional risk, we don't think this is compelling reason.
Larry Penn: And I want to add to that. So I think if you look back and -- look, I don't have these numbers in front of me but I can't remember -- I think we've been close to 9:1 leverage, maybe we've been a little bit higher at times, but I don't think we've ever been much higher; Chris actually just confirmed that. And we've had some TBA hedges that were little on the low side now at 20%, we certainly been at 50% at times, perhaps even a little bit more. So if you want to imagine a market where we thought that mortgages were just pound on the table cheap; I think you're going to look at that 9:1 level and say, look, these guys have never really been much higher than that before. It's -- we're very conscious here firm-wide at the risk of leverage, been through a lot of cycles where leverage has obviously cost people a lot of money, had to liquidate at the very worst times. So we've been through cycles where we've seen investors punished for over leveraging and therefore having to liquidate assets to worst time. So I think if you -- it's hard for me at this point to imagine where we would both lift all of our TBA shorts and be more than 9:1 leverage. So that's pretty -- so if you want to sort of set [indiscernible] what we're thinking; you know, I think that at least based upon our experience, that I think is a pretty good guideline.
Steve Delaney: In the first quarter, obviously a tough environment but you slightly under-earned your dividend on adjusted core earnings. We're thinking about this LIBOR repo spread and we're looking at it as being more beneficial to the mortgage REITs in the second quarter of this year than it was in the first quarter. And I'm wondering if you see it the same way? And that has to do with the sort of timing of when three month LIBOR moved and it seems like it's moved a lot more here since March 31. Just curious if you think that will give you -- an even bigger benefit in 2Q versus 1Q?
Larry Penn: You're exactly right. The other components of that is when you're swap three set. So when you additionally do a swap booking leg is set when you're at trade time, right. So you're going to see swaps reset up. Look, I don't -- we don't expect that this difference between three month LIBOR and repo rates gets bigger, we wouldn't be at all surprised to see it narrow. Our point is that it's such a big move that even it retraces 50%, it's a better operating environment for REITs on that basis than what they've seen in -- it got to be at least the last five years. But you're absolutely right about the timing of all this and that it takes a little while for all this to sink in; A) as your swaps reset, and then, B) as your repo's role. So -- because we -- we rolled our repos in the past at sometimes agreeing to spread that obviously now, we can get better spreads. So as those repo's role, we'll be able to lock-in better spreads.
Steve Delaney: And do you link most or index most of your big space swaps to three month LIBOR rather than one month?
Larry Penn: Yes, they are all I believe are three months.
Steve Delaney: We don't remember talking about this going back over -- however many years, more than a decade; we don't remember talking about this phenomenon. And it was easily overtime back during the crisis and everything where repo was well above LIBOR. And if it does hold, it would just seem like 20 basis points of it's becomes kind of built into the systems and people have a high percentage of their repo hedged with big space swaps. It would seem -- if leverage is 7-day times, we're talking about over 100 basis point contribution to return-on-equity. I would think just from this financing benefit.
Chris Smernoff: Yes, it's a big deal. I remember back 2-3 years ago, when the banks were operating -- trying to operate under the regime where they had to have more capital, people talked about the return-on-equity from agency repo wasn't good for banks and people worried about repo going away, and repo costs then were -- three month repo was above three month LIBOR. So it's materially better environment. And I guess -- the counterpoint is that you've got the Fed getting it's balance sheet back for this, a lot of supply but our point is that the supply is priced in the mortgage market now, because every investor feels that but it's only a very small part of the mortgage market that takes advantage of these financing ability. Most of the mortgage market is banks, it's money managers, it's insurance companies, it's not levered in the repo market.
Steve Delaney: You're correct, it would be mortgage REITs and hedged funds and I don't think the hedged funds are in the trade that much anymore with the Fed feed [indiscernible] with raising rates. Thank you very much for the comments and good luck in the second quarter.
Operator: Our next question comes from the line of Doug Harter with Credit Suisse.
Unidentified Analyst: Larry, can you share how you think about the balance between accretive share repurchase and shrinking your equity base further and increasing your expense ratio? And if you could just remind us what the current buyback authorization is; that would be great. Thanks.
Larry Penn: The current buyback authorization is 1.2 million shares. And you saw that our expense ratio ticked up 20 basis points in the first quarter versus last quarter but part of that was due to timing of expenses. So as I said in my script, we expect for the 2018 year that our expense ratio will be roughly 3.2%. And something that we are obviously mindful of as a small company, we saw this as a great opportunity to repurchase shares in the last quarter but -- as Chris mentioned, the effect on our expense ratio was not -- I want to imply that by 3.8% of our shares caused our expense ratio to go up 20 basis points, that's absolutely not the case but it does have a marginal impact and we need to be mindful of that as well. So our stock price is now somewhat higher on price to book ratio as we speak, so all these things have taken into account, as well as the opportunities that we're seeing. So as we mentioned on the call, we really want to be opportunistic about our capital management strategy and have that ability to buyback when stock is really cheap. We were trading below 80% a book [ph] and -- be less aggressive about that when we're trading higher.
Operator: At this time there are no further comments. I will now turn it back to the presenters for closing remarks.
Larry Penn: I think we're good.
Operator: This concludes today's conference call. You may now disconnect.